Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to KP Tissue Third Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] Before turning the meeting over to management, I would like to remind everyone that this conference call is being recorded on Wednesday, November 9, 2022. I will now turn the conference over to Mike Baldesarra, Director, Investor Relations. Please go ahead.
Mike Baldesarra: Thank you, operator, and good morning, ladies and gentlemen. My name is Mike Baldesarra, I'm the Director of Investor Relations at KP Tissue Inc. The purpose of the conference call today is to review the financial results of the third quarter of 2022 for Kruger Products L.P., which I'll refer to as KPLP going forward. With me this morning is Dino Bianco, the Chief Executive Officer of KP Tissue and Kruger Products L.P.; and Mark Holbrook, the Chief Financial Officer of KP Tissue and Kruger Products L.P. The following discussions and responses to questions contain forward-looking statements concerning the Company's activities. Forward-looking statements involve known and unknown risks and uncertainties, which could cause the Company's actual results to differ materially from those in the forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The Company does not undertake to update these forward-looking statements, except if required by applicable laws. There's a page at the beginning of the written presentation, which contains the usual legal cautions, including as to the forward-looking information, which you should be aware. I'd like to point out that all figures expressed today in today's call are in Canadian dollars, unless otherwise stated. The press release reporting our Q3 2022 results were published this morning and will be accessible from our website at kptissueinc.com. Please be aware that the MD&A will be posted on the website and will also be available on SEDAR. Finally, I'd ask that during the call we will refer to presentation we have prepared to accompany these discussions, which is also available on our website. We’d appreciate that during the Q&A period please limit your question to two. Thank you for your collaboration. Ladies and gentlemen, I'll now turn the call over to Dino Bianco, our CEO. Dino?
Dino Bianco: Thank You, Mike. Good morning, everyone, and thank you for joining us for our third quarter earnings call. We continued to deliver solid topline growth in the third quarter of 2022 with revenue increasing 9.1% year-over-year, while profitability significantly improved from the previous quarter based on the disciplined execution of our multifaceted strategy. This strategy included price increases across all segments and productivity gains, along with prudent cash management through reductions in working capital and discretionary spending. Inflation pressure appears to be easing. Higher market pricing is creating some share softness, as consumers trade down with the new higher price points and the recovery of our Memphis operations is progressing, but taking a little longer than anticipated. And we believe that this situation will be fully resolved in early 2023. Despite a volatile business environment, we are moving in the right direction and fully expect to improve profitable growth in the fourth quarter. Now let's take a look at our Q3 2022 financial performance on slide five. Revenue growth of 9.1% year-over-year mainly reflects selling price increases across all segments and regions, higher sales volume from our away-from-home segment and the positive foreign exchange impact on our U.S. dollars sales. I'm particularly pleased with the strong performance of our away-from-home segment in the third quarter, with sales growth of 37.3% year-over-year, signaling a market recovery in Canada and the U.S. post COVID. From a geographic perspective, revenue in Canada increased 7% year-over-year, while revenue in the U.S. grew 12.2%. In terms of profitability, adjusted EBITDA decreased to $30.7 million in the third quarter of 2022 versus prior year, primarily due to significant inflation on pulp and other input costs, manufacturing costs and freight, labor shortages and productivity issues in Memphis and lower consumer sales volume. These factors were partially offset by selling price increases, away-from-home volume recovery and prudent spending management. Adjusted EBITDA improved by $18.9 million or 160% from Q2 2022 on a sequential basis, as price increases and cost efficiencies began gaining traction in the third quarter. On slide six, pulp and average prices in Canadian dollars increased 6% and 9% respectively in the third quarter 2022 from the previous quarter, while year-over-year prices rose more than this significantly impacting our cost structure. NBSK and BEK average prices climbed 21% and 25% in Q3 2022. And based on industry forecasts for the remainder of the year, these prices are expected to remain at fairly high levels for the foreseeable future. Turning to slide seven. Pulp or fiber as a whole and freight expenses continue to escalate. Freight rates were up more than 25% in the third quarter of 2022 in both the U.S. and Canada. This is compared to the same period of 2021. Natural gas prices were up in excess of 50%. Packaging costs meanwhile increased more than 10% year-over-year. And finally, labor expenses rose approximately 5% in the third quarter. Combined, these cost items rose an additional $45 million in the quarter versus last year, which is a similar level that we reported in Q2 2022. To encounter the significant inflationary pressure, we implemented a series of pricing actions and cost management plans that we shared with you last quarter. As shown on, slide eight, our pricing for our products increased on average more than 10% in Q3 2022 compared to the same period last year. It should be noted that additional price hikes for October in consumer Canada and consumer U.S. will be reflected in our Q4 earnings. Moving into our network modernization slide on page nine, TAD Sherbrooke continues to exceed ramp-up plans, while the Sherbrooke Expansion Project remains on track. In fact, we expect to fully utilize the new bathroom tissue line which is scheduled for deployment in Q1 of 2023 and based on our current sales outlook. The start-up for the new facial line has been set for Q3 2023, while the paper machine line will be rolled out at the end of 2024. In short, we are tracking to plan, but we are keeping a watchful eye on supply chain issues and inflationary pressures. Turning to our Memphis operations on slide 10. The turnaround is progressing in our TAD operations with outputs increasing, staffing numbers have been optimized and training has continued at all levels, but admittedly, it's taking longer than expected to stabilize this large manufacturing site. We're almost a year into our Memphis turnaround plan, with some assets still not performing at the required level. Consequently, we're evaluating each asset to identify where the performance capitalize and what further actions need to be taken. We should complete our review in Q4 this year. Meanwhile, the new facial tissue line rolled out in July continues to exceed its startup curve. New product configurations have been added to expand our portfolio. As a result, we anticipate accelerating growth opportunities in the future with sales outpacing production. Now let's flip to our brand support page on slide 11. Although discretionary spending was reduced, our marketing expenses for the third and fourth quarters have been dedicated to in-store sharper marketing initiatives to drive sales and mitigate the pricing impact to the consumer. Managing price gaps following industry-wide price increases is a key focus of our team, as there is significant volatility in pricing in the marketplace. Accordingly, we're continuing to develop awareness and trial building activities behind the Cashmere and Purex UltraLuxe, SpongeTowels UltraPRO, Bonterra and White Cloud launches. Early returns have been positive with strong share gains for our SpongeTowels UltraPRO as well as Cashmere and Purex UltraLuxe. On the subject of Cashmere, the 19th annual Cashmere collection was introduced in the later part of September, making the kick-off -- marking the kick-off to October's Breast Cancer Awareness Month. Collection Curator, Jay Manuel and 12 of Canada's top designers headlined to show of original couture based on Celestial Awakening theme. Clothing was fashioned entirely with the new and improved Cashmere UltraLuxe Bathroom Tissue, which is produced in our new TAD Sherbrooke facility. Finally, the Third Annual Kruger Big Assist program was recently launched across Canada. The Kruger Big Assist program awards $25,000 to six minor hockey associations throughout the country to help provide financial assistance to hockey families in their communities. And this year, a new marketing wrinkle has been added with the shopping assistant incentive to drive sales. When consumers spend $25 on Kruger tissue products, they will receive a $10 gift card. Moving to slide 12. The data presented has taken from Nielsen. It shows market share performance over a 52-week period ended on September 10, 2022. The data reflects that consumer categories continued to be soft, particularly bathroom tissue and paper towels. Branded share has broadly been affected by industry-wide price increases with some consumers trading down. This is expected as consumer and retailers adjust to new price points. We anticipate shares to improve as the market adjusts to the new price points going forward. In terms of the away-from-home segment on slide 13, we benefited from a combination of factors, including a market recovery, share gains, price increases and operating efficiency in our away-from-home facilities. This altogether posted one of our best quarters on records for that business. Volume was 12% higher in Q3 2022 compared to the same period last year, driven by market and share gains. As a result, adjusted EBITDA for this segment was in positive territory for the quarter at $5.4 million. Keep in mind, third quarter is a seasonally strong period for this business. However, going forward, our goal is to continue to drive positive EBITDA for AFH segment. I will now turn the call over to Mark.
Mark Holbrook: Thank you, Dino, and good morning, everyone. Please turn to slide 14 for a summary of our financial performance in Q3. Dino has highlighted many of the numbers on this page. We had strong revenue growth. And while adjusted EBITDA was lower than last year, we saw a significant improvement from Q2. We had a net loss in the quarter of $38.8 million compared to $9.3 million for the same period last year. The $29.5 million decrease was due to a number of factors. Lower adjusted EBITDA of $9.6 million, higher foreign exchange loss of $17.7 million, consulting costs related to operational transformation initiatives of $3.5 million and a higher depreciation expense of $1.4 million. These items were partially offset by a lower charge in the amortized cost of the partnership units liability of $3.5 million. In the quarterly segmented view on slide 15, consumer revenue increased 4.1% year-over-year and 6% sequentially to $346 million. In the away-from-home segment, revenue grew 37.3% year-over-year and 39.8% sequentially to $81 million. Consumer adjusted EBITDA totaled $25 million in Q3 compared to $39.1 million in Q3 2021, with adjusted EBITDA margin at 7.2% compared to 11.8% for the same respective period. Sequentially, consumer adjusted EBITDA was up by $10.7 million from $14.3 million in Q2. For the AFH segment, adjusted EBITDA amounted to $5.4 million in Q3 compared to $2.2 million in Q3 2021, a negative $0.5 million in Q2. Corporate and other costs were $0.3 million in Q3, compared to negative $0.9 million for the same period last year and negative $2 million for Q2. On slide 16, we review year-over-year revenue growth for Q3, which improved $35.6 million or 9.1%. This growth can be attributed to selling price increases in both consumer and AFH and in both Canada and the U.S along with higher AFH sales volume and favorable foreign exchange impact on U.S. dollars sales. These were partially offset by lower sales volume in the consumer segment and also some unfavorable sales mix. On a geographical basis, revenues in Canada rose $16.3 million or 7% year-over-year, while U.S. revenues grew $19.3 million or 12.2%. On slide 17, we provide additional insight into the profit impact in the third quarter. Adjusted EBITDA decreased $9.6 million to $30.7 million, representing a margin of 7.2% from $40.3 million in Q3, 2021 or a margin of 10.3%. The decrease in adjusted EBITDA was primarily due to significant inflation on pulp, manufacturing costs and freight, Memphis plant labor and productivity issues, as well as lower sales volume in the consumer segment. These factors were partially offset by selling price increases and a recovery in AFH volume. Now let's turn to slide 18, where we compare revenue sequentially in Q3 to Q2. Revenue increased by $29.5 million, or 7.4% from the previous quarter. Increase was mainly due to price increases, slightly higher volume and favorable foreign exchange impact on U.S. dollar sales. Geographically, revenue in Canada was up by $10.5 million, or 4.4% sequentially, while revenue in the U.S. improved $19 million or 12%. On slide 19, adjusted EBITDA in Q3 increased sequentially by $18.9 million or almost 160% from Q2. This significant growth was due to several factors, including the higher revenue as previously mentioned from price increases and slightly higher volume, along with lower freight and warehousing costs, increased productivity and significantly reduced SG&A spend. These factors were partially offset by higher pulp and sorted office paper costs. Turning now to our balance sheet and financial position on slide 20. Our cash position stood at $82.1 million at the end of Q3, a decrease from $100.3 million at the end of Q2. Long-term debt at quarter-end totaled $1.095 billion, up $55.5 million from $1.0395 billion at the end of the previous quarter. Net debt increased from $973 million to $1.0477 billion. The $74.7 million rise in net debt was primarily due to a significantly FX increase on our U.S. dollar debt, the use of previously financed cash and debt for the Sherbrooke Expansion Project and the TAD Sherbrooke Project, as well as for other capital spending and working capital. Our net debt to last 12 months adjusted EBITDA leverage ratio rose to 9.5 times in Q3 from 8.1 times in Q2. Leverage increased due to a higher level of net debt and also lower adjusted EBITDA level in the last 12 months. We expect our leverage ratio to remain relatively stable in the fourth quarter as we continue to spend on the Sherbrooke Expansion Project to get the benefit of improved adjusted EBITDA and lower working capital. While we are in a unique situation with our leverage at the end of Q3 2022 with ongoing strategic projects financed with debt along with currently deflated adjusted EBITDA, we anticipate that deleveraging will gradually take place as we move through 2023 as TAD Sherbrooke continues to ramp up and the adjusted EBITDA improves as pricing catches up to inflation. At quarter-end, total liquidity representing cash and cash equivalents and availability from a revolving credit agreements stood at $112.4 million. In addition, $50.6 million of cash was held for the TAD Sherbrooke and Sherbrooke Expansion Projects. Going forward, as indicated last quarter, liquidity will be positively impacted by Kruger Inc.'s decision to increase its participation in the dividend reinvestment plan from 50% to a 100%, which was effective on July 15th. On September 15th, we completed an amendment to the ag credit agreement, which covers our financing for the TAD Sherbrooke and Memphis sites. So the starting date of the fixed charge coverage ratio covenant was changed from Q3 to Q4 2022, and the calculation of this ratio now uses the financial results starting as of October 1, 2022 instead of using the latest 12 months. I'll conclude my section by reviewing CapEx on slide 21. CapEx after nine months reached $76.6 million, including $15.2 million for TAD Sherbrooke and $30.2 million for the Sherbrooke Expansion Project. We have lowered our CapEx range to $130 million to $140 million for 2022, including the Sherbrooke Expansion Project. This forecast represents a CapEx reduction of approximately $30 million to $40 million from the previous quarter, based on planned reductions in discretionary projects and also some delays caused by supply chain issues on strategic projects which are not expected to significantly impact the start-up timing on these projects. Thank you for joining us this morning, and I'll now turn the call back over to Dino.
Dino Bianco: Thank you, Mark. I will conclude on slide 23. Our main goal remains to grow the business for the long-term, while managing inflationary pressure on a short-term basis. Against this backdrop, we continued to deliver solid topline growth in the third quarter. Price increases and cost efficiencies mitigated inflationary pressure in the quarter with a further improvement in profitability expected in Q4 2022. We are prudently investing in our brands to support price increases in the market and managing price gaps, strong awareness in trial building activities continue behind our Cashmere and Purex UltraLuxe, SpongeTowels UltraPRO, Bonterra and White Cloud launches. Our TAD Sherbrooke facility continues to exceed its ramp-up curve, while recovery benefits from our Memphis operations are expected to progressively improve. We're very pleased with the robust away-from-home recovery across North America and aim to sustain positive adjusted EBITDA for the segment going forward. We will progressively strengthen liquidity and improve our leverage ratio as Mark mentioned. Ratios temporary inflated due to large investments in strategic projects and temporarily reduced profitability caused by inflationary pressure. Finally, we will continue to invest in our organization and culture to drive future growth. Now let's turn our attention to the outlook for the fourth quarter of 2022. We believe that inflationary pressure has stabilized, price increases are in place, cost-cutting programs have been implemented, discretionary spending has been restricted and operating efficiency is gaining traction. While the market continues to be very volatile, adjusted EBITDA in Q4 2022 is expected to exceed last year's fourth quarter level. With that, we'd now be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Hamir Patel of CIBC. Hamir, please go ahead.
Hamir Patel: Hi. Good morning. The sort of trade-down that you and the industry experienced in Q3 to private label, how much of that do you think was maybe caused by private label typically being slower to implement price increases? And how much maybe just due to households trying to maximize savings?
Dino Bianco: Yeah. It's a great question, Hamir. I've been in this consumer business for over 30 years. And every time there is pricing and inflation, you do see some slippage in the brands and private label tends to be the benefactor. That eventually will recover. I think what you're seeing here is a couple of things. One is the sticker shock as I call to the consumer. Seeing price increases, not of course, not just tissue everywhere, but seeing price increases going up fairly significantly. And the other thing you get, Hamir, when you get this type of pricing is retailers changed their promotional strategy, so a lot of them may back off promoting the brand, because they're not sure what the adjusted price will be in the marketplace. They may promote more of their private label during this period of time. So you get it -- you get that whammy as well. That eventually corrects itself. At the end of the day, the brands are important. They're traffic drivers, our brands are traffic drivers. And we see that situation eventually correcting itself. As far as speed of increase, I would say we have seen that everybody has generally moved within -- we're all facing same costs, so we're all moving within the same time period, give or take a few weeks.
Hamir Patel: Okay, great. Thanks, Dino. That's helpful. Just a question for Mark. How should we think about CapEx in 2023?
Mark Holbrook: We don't have any specific guidance, Hamir, on CapEx for next year yet, but we're looking out in '23, we see the Sherbrooke Expansion Project with the facial line, converting line coming on and still spending heavily on the paper machine for that project. So similar type of range I think you would see to what we have this year.
Hamir Patel: Okay, great. Thanks, Mark. That's all I had.
Operator: Thank you. Your next question comes from Sean Steuart, TD Securities. Sean, please go ahead.
Sean Steuart: Thank you. Good morning. Couple of questions. AFH momentum, better quarter there, better than we've seen I think on record for EBITDA. Can you speak to -- and I appreciate the factors that have led to better results there. But can you speak to the sustainability of that margin improvement as you look ahead into, I guess not just Q4, but the 2023 as well?
Mark Holbrook: That's a great question, Sean. I think maybe in earlier calls, a year or two ago, I've always said that this business should be at least a mid-single-digit margin and maybe a low double-digit margin. And that's our goal internally to get there. And there's a few factors at play. One is obviously the continued drive -- the volume curve. Part of it is market and part of it is share. I think the team is doing a great job of readjusting the portfolio and playing in segments and categories where we can win and that could be margin accretive. The team has also done a very good job at operating efficiency within our network where we make our away-from-home products. We're also short-term benefiting and longer-term will benefit from internal paper. We have had internal capacity available, so AFH is benefited from that. There was a penalty for them in the past. And with Phoenix coming on-board, they will permanently benefit from that. And they've been very smart in announcing price increases in the market as inflation has happened. So, a lot of positive things going there, and I expect that business to be at least mid, if not low double-digit margin as we look to the future. It might be a little choppy getting there depending what's going on in the market, but that is our long-term goal.
Sean Steuart: That's great detail. Thanks for that. And question on the CapEx revisions for this year. You touched on some discretionary projects being taken off the budget. Can you give us a sense of what types of projects are you taking away? And this is -- we should view this as strictly a means of managing your leverage over the near to mid-term. That's the correct assumption, I suppose.
Mark Holbrook: Yeah. I mean, we go through this project with a fine-tooth comb. It's projects that are millions of dollars and projects that are tens of thousands. So given the year that we had, we made a decision that said unless it was urgent, unless it has to do with environmental, health and safety issue, unless it was derisking our operations that if we had the opportunity to delay, we would delay. So I would say we generally have not canceled any products -- projects. What we have done is pushed them more into next year. And so, we feel that we're comfortable and stable with respect to our performance.
Sean Steuart: Okay. Thanks very much. I appreciate the context. That's all I have.
Operator: Thank you. [Operator Instructions] Your next question comes from Zachary Evershed, National Bank Financial. Zachary, please go ahead.
Nathan Po: Good morning, everyone. This is Nathan calling in for Zach this morning. Thanks for taking my question.
Dino Bianco: Good morning.
Nathan Po: So I noticed some deceleration year-over-year for most of your cost buckets. Can we expect similar trends going forward? And some -- if not, are there any particularly sticky inflation trends for certain materials or buckets that we should keep an eye out for?
Dino Bianco: Well, Nathan, I would say my crystal ball is a little foggy right now as I'm sure everybody else's with the dynamics that are going on around the globe with respect to inflation and supply chain challenges. So we've learned to just be ready and to be ready to pivot, we did take pricing, we did cut costs. We continue to watch the big ones. The big ones for us is the pulp. I think there was some belief that pulp will start coming down during -- earlier this year, it has generally not. It's starting to come down a little bit now. We will likely see any of that benefit until next year. Freight is still high, subsiding a little bit. It's another big cost for us. Energy is still a wildcard. If you're tracking what's going on in energy, jumps around dramatically. So I just think the market is so volatile right now that our perspective and based up on industry experts and guidelines is that we would expect to remain in a sideways inflationary period next year. I don't see dramatic deflation. I don't see dramatic inflation again. So we think it will go sideways. Some commodities may go up, some may go down and some may stay stable. So that's probably the best I can do for you. I know it doesn't answer your question. If I knew the answer, I'd be a very smart man.
Nathan Po: Thank you for that. I can definitely appreciate the difficulty in trying to predict where those costs go. Another question. Relative to last quarter's guidance, you included an extra price hike in October in consumer U.S. I believe on top of the January, February and July ones. What kind of flag raised when you started to include that extra hike?
Dino Bianco: You cut out a little bit. What kind of -- can you repeat that? What kind of what?
Nathan Po: What kind of flags are raised or what kind of internal metrics were you looking at when you decided to include that extra hike?
Dino Bianco: Yes, so look just in general on pricing, anytime we go take pricing, we don't like to take pricing. First, be very clear, it's always difficult and it makes it difficult for the consumer as well. So anytime we take pricing, we show our basket of costs. Many of them I just talked to you about and once we see that that basket of costs has stabilized at a high level we're incurring those costs, we will go to our retail partners and say there is a need to increase the price by X percent based on those costs. And what we will do and particularly what's happened in the last let's say 18 months is we've had to do programing -- additional price increases in certain markets because the costs continue to rise. So the October one is no different in logic that what drove the other price increases. It was kind of a catch-up, primarily in Canada where we didn't -- we still had inflation after our July announcement and some selective pricing in the U.S. where we were catching up with some particular customers that we weren't able to price earlier. So the justification is, this has not been a margin grab, it's not been -- it's really been a price to recover cost scenario for us and unfortunately with a lag built in because it usually takes two to three months to get pricing in the market.
Nathan Po: All right. Thank you very much. I'll turn it over.
Dino Bianco: Thanks, Nathan. Thank you.
Operator: Thank you. There are no further questions at this time. Please proceed.
Dino Bianco: Okay. I want to thank you for joining us on the call today. We look forward to speaking with you again following the release of our fourth quarter results early in the New Year. Thank you and have a great day.
Mark Holbrook: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.